Operator: Good day ladies and gentlemen. Welcome to the Stoneridge Fourth Quarter 2014 Conference Call. My name is Matthew and I’ll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct the question-and-answer session towards the end of this conference. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. Now I’d like to turn the call over to Mr. Ken Kure, Corporate Treasurer and Director of Finance. Please proceed sir.
Ken Kure: Good morning, everyone and thank you for joining us on today’s call. By now you should received the fourth quarter earnings release. The release and the accompanying presentation has been or will shortly be filed with the SEC and has been posted to our website at www.stoneridge.com. Joining me on today’s call are John Corey, our President and Chief Executive Officer; and George Strickler, our Chief Financial Officer. Before we begin, I need to inform you that certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature and include information concerning our future results or plans. Although we believe that such statements are based on reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found in our 10-K filed with the Securities and Exchange Commission under the heading Forward Looking Statements. During today’s call, we’ll also be referring to certain non-GAAP financial measures. Please see the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. With the sales of Wiring business, our financial reporting starting in the second quarter for control devices, electronics and PST will be reported on a continuing operations and Wiring is also reported as a single line called discontinued operation. In addition, our balance sheets and statements of cash flow include the Wiring business through July 31, 2014. Our forward projections for ’15 for our remaining segments only as our historical results including the Wiring business are not indicative of our future performance. John will begin the call with an update on the significant events for the quarter, current market conditions in the fourth quarter and our growth strategies and business development. George will discuss the financial and operational aspects of the fourth quarter, the repositioning of the company from selling the Wiring business, refinancing of the company, and the impact of significant changes in currencies due to the strengthening of the U.S. dollar. We’ve prepared and published an earnings presentation to provide more detailed schedules to help your understanding of our fourth quarter results, trends for our continued improvement and update you on key initiatives to improve financial performance. A copy of these items can be found on our website at www.stoneridge.com in the Investor Relations section. After John and George have finished their formal remarks, we will open up the call to questions. With that, I’ll turn the call over to John.
John Corey: Good morning. We closed 2014 with fourth quarter EPS from continuing operations of $0.25 per share compared to $0.12 in the prior year. This performance is the fourth consecutive quarter. Stoneridge has recorded successive quarter-over-quarter profit improvement. This improved profitability is the result of actions taken during 2014 as we have discussed on prior calls. By business unit, control devices and electronics continue to perform well as the North American automotive and commercial vehicle markets had good growth in 2014 and the outlook remains positive for 2015. European markets are likewise improving in 2015. PST’s performance do not met expectations as the Brazilian market has not recovered and the outlook is for a continuation of poor economic growth. However, we expect PST to improve in 2015 and to grow between 10% and 15% in local currency turns. This improvement will be driven by the sales increases in the track and trace, which will represent approximately 27% of PST’s volume in 2015 and the introduction of the redesigned audio line representing approximately 19% of their sales volume in 2015. So even in the lethargic market, we expect PST’s return to profitability by a third quarter of 2015 and to be positive for the year. In addition to the improving markets in North America and Europe, the company will launch nearly $20 million in 2015 of new product and an additional $85 million of new business in 2016. Finally, we refinanced the company in the fourth quarter with the redemption of the remaining $157.5 million senior notes. The lower level of debt and lower interest rates will save the company approximately $11 million to $12 million in a just in 2015 over 2014. So as we exit the difficult 2014, we have repositioned the company continue to capitalize on the organic growth and the reposition to grow through acquisitions. Now into the details of our fourth quarter. As I stated, EPS from continuing operations excluding PST’s goodwill impairment charge and the debt extinguishment cost was $0.25 per share compared to the fourth quarter of 2013 of $0.12 per share. Our GAAP accounting results in the fourth quarter include the write-off of all remaining PST goodwill of $28 million or $0.81 per share and the refinancing expenses and deferred financing cost of $9.8 million or $0.36 per share. See slide 6 for reconciliation of reported EPS and the impact of unusual items and our adjusted EPS from continuing operations. Stoneridge’s consolidated revenues in the fourth quarter were $166.8 million, a decrease of $2.4 million or 1.4% over the fourth quarter of 2013 as PST sales declined by $9.8 million or 21.5% while control device and electronics increased by $7.4 million or 6%. By business units, sales in the fourth quarter increased the control devices by $2.8 million or 3.9% and electronics by $4.8 million or 8.8%. Excluding sales of $6.3 million to Motherson, which were previously accounted for as intercompany sales to Wiring and are now recorded as third-party sales, sales in electronics decreased by $1.7 million or 3%, as revenues were negatively affected by approximately $4.9 million due to the weakening of the Swedish krona against the U.S. dollar. Passenger car and light truck revenues were $59.7 million in the fourth quarter, a 9.1% increase over the 2013 fourth quarter sales of $54.7 million as volume increased on control device products including new programs and shift by wires, seat track position sensors. Overall it was a very good year for North American automotive production and for control devices and the outlook was 2015 is equally positive. Sales in our commercial vehicle category, which are predominantly electronic sales were $60.9 million in the fourth quarter compared to $58.5 million, a 4.1% increase over the fourth quarter of 2013, due primarily to higher volume sales of instrumentation products in Europe and include sales of $6.3 million to Motherson, which were classified as intercompany sales in 2013. As previously mentioned, the electronic revenues were negatively impacted by our weakening Swedish krona against the U.S. dollar. Slide 3 provides the detail. PST’s fourth quarter sales declined by $9.8 million or 21.5%, $35.9 million compared to the fourth quarter of 2013. These results were negatively impacted by $4.2 million as the Brazilian Real divided by 12% in the fourth quarter of 2014 over the fourth quarter of 2013. While 2014 was a poor year for PST. We are optimistic about 2015 even with the stag in the Brazilian economy. PST sales have improved sequentially since the second quarter of 2014. We are seeing good growth in our security line of cargo trackers and expect this line to grow at over 25% in 2015. We believe we are the best cargo tracking system because in addition to GPS and GSM, we have our own 900 megahertz system, strategically located in the country. Brazilian risk and agency, which test these systems for the industry has tested and reported favorably on our tracking system – tracking systems, anti-jamming capabilities. The cost reductions executed in 2014 and the redesigned audio line will benefit PST in 2015 between about $12 million, $13 million excluding foreign exchange impacts. See slide 12 for the details of these actions. Consolidated Stoneridge operating income margin excluding PST goodwill write-off decreased to 3.1% in the fourth quarter of 2014 compared to 5.6% in the fourth quarter of 2013 due to PST’s performance. Stoneridge’s operating margins excluding PST decreased to 5.1% or $6.7 million from 7% or $9.3 million compared to the third quarter of 2014 do mostly the higher direct material cost. Operating income excluding PST was lower in the fourth quarter of 2014 compared to the fourth quarter of last year by $1.4 million on higher warranty cost, compensation expenses and lower engineering cost reimbursement. Excluding the effects of purchase accounting of goodwill, PST had a negative margin of 1.5% in the fourth quarter, and while we are not satisfied with this result, it is an improvement over the first quarter’s negative 3.2%. We expect this year return of profitability in the third quarter of 2015 as seasonal demand increases. Slide 5 of our deck has a complete P&L breakout of the fourth quarter ‘14 versus the fourth quarter of ‘13 for continuing operations with the bridge item differences and includes the write off of the remaining PST goodwill. Slide 3 identifies Stoneridge’s segment and sales increases and decreases versus the prior year’s fourth quarter. New and replacement business awards for control devices and electronics in the fourth quarter was $68.8 million, representing $22.5 million in new business awards and $46.3 million in replacement awards. Among these new awards was an electronic chassis module work for European commercial vehicle customer, a temperature center award for a North American passenger car and light truck customer and a Seat Track Position Sensors award for a European passenger and light truck vehicle customer. For the full year, we had awards of $201 million, of which a $136 million were new and $65 were replacement, most of which are shift by our awards reflected in our net new business. See slide 14 for the details. From a business awards standpoint, it was a very solid performance in the year. Minda Stoneridge, our unconsolidated JV in India, posted fourth quarter sales of $11.6 million, an increase of 16.7% versus the fourth quarter of last year. The Rupee remained stable and compares into the fourth quarter over the last year. Our share of Minda’s net income from operations in the fourth quarter was a profit of 141,000 compared to a profit of 151,000 in the fourth quarter of 2013. In summary, from a market perspective, the North American passenger car and commercial vehicle markets and the European commercial vehicle sales met our market expectations and the outlook is positive. PST underperformed due to Brazil’s continued economic weakness. However, our sales in Brazil have improved sequentially since the second quarter of 2014, some of this is in part due to normal seasonality. The state of the Brazilian economy and the continued strengthen of the U.S. dollar will present challenges for PST in 2015. However, the cost and product actions taken by management in 2014 will benefit PST in 2015 and they will return to profitability by a third quarter even in the lethargic market. As we review our outlook for the business in 2015, control devices should continue to perform well. Electronics may have some possible softness in selected customer schedules which we have factored into our projections. Our European business will also be affected by a strong dollar in sales and profits as a result of a transactional and transitional risk. These risks are also factored into our 2015 guidance. Our net new business has also been adjusted to reflect our current best estimates of organic sales growth program awards that did not materialized, weaker foreign exchange projections, and a lower production estimates in Europe. Overall, the company has an attractive product and technology portfolio as evidenced by our business awards this year. We have taken actions to grow our business in the Brazilian market and to improve the performance of PST. We have the ability to grow organically and with our flexible debt and capital structure to pursue acquisitions to deliver improved results. With that, I’d like to turn the call over to George.
George Strickler: Thank you, John. With the completion of the Wiring transaction on August 1st and the refinancing completed as of October 15 of this year. We have strengthened the company. We’ve improved our risk profile and our geographic diversification will be more balanced. Our sales in North America will represent nearly 50% of our total sales, Latin America 21% and Europe/Asia 29%. Our recently revised sales growth projection of $130 million in net new business is being driven across all regions. This can be seen on Chart 7. Our customer diversification has improved with a balance between automotive and commercial customers are also can be seen on Chart 7. PST has had a negative impact in the operating performance in the last four quarters, but our PST management has been very aggressive in their cost alignment actions to correspond in the market opportunities by channel. Chart 12 was the key actions that have been generating savings for PST of $2.4 million in 2014 with an expected annualized benefit in 2015 of $12.8 million. Chart 13 shows the top-line sales growth in the audio line and track and trace as well as PST and other product lines. We have built into our 2015 guidance, a Real rate of 270 to the U.S. dollars. If the Real continues to weaken, which is currently being forecasted the value between 2.7 and 3 to the dollar for this year then this could create additional raw material cost increases offsetting some of the savings. Using the proceeds from the Wiring transaction, we paid off 10% of our existing bonds, nearly $17.5 million, the 103% of par using proceeds from the transaction on September 2nd of last year. We’ve completed de-leveraging the company by paying down an additional $57.5 million of debt and refinancing the remaining $100 million of significantly lower interest rates. One of our primary goals in the refinancing is to provide stability of long-term borrowing capacity, which will offer debt flexibility at substantially lower interest rates. On September 12th of 2014, we executed a new $300 million senior secured credit agreement with our group of lenders. This agreement replaced our ABL agreement and was used to refinance our 9.5% senior notes and on October 15 of last year, we redeemed the remaining balance on our bonds of $157.5 million. Using cash on hand, our new U.S. debt balance was $100 million and the initial borrowing rate was 1.6% and our current rate is 1.8%. This compares to the fourth quarter of 2013 where bond balance was $175 million and our coupon rate was 9.5%. See slide 5 for the EPS impacts of this transaction for the fourth quarter. In the second quarter, we recorded estimated goodwill impairment of $29.3 million or $0.85 per share and in the third quarter, we finalized the goodwill impairment assessment resulting in a non-cash goodwill income of $5.8 million before non-controlling interest of $0.16 per share. As a result of unfavorable changes in the Brazilian economy and this impacts on consumer spending, we recognized an additional goodwill impairment of $27.9 million before non-controlling interest in the fourth quarter and $28.8 million or negatively $0.81 per share of charge which was the remaining PST goodwill in our balance sheet. And as a result of the charge recorded in the fourth quarter, the full year non-cash goodwill impairment of $51.5 million resulted in the net charge of $1.49 per share. Even with the net valuation reduction, PST has a carrying value in excess of $92 million. For the 12 months ended December 31st, the company recognized that an income tax benefit of $1.9 million on a pre-tax loss from continuing operations of $53.1 million or an effective tax rate of negative 3.5%. Included pre-tax loss is a non-cash deductible PST goodwill impairment charge of $51.5 million. For the fourth quarter, the company recognized an income tax benefit of $1.1 million on a pre-tax loss from continuing operations of $32.4 million or an effective tax rate of negative 3.4%. Included in pre-tax income is $28 million non-taxable deductable PST goodwill impairment charge. The tax benefit recognized in the loss for the fourth quarter and the full year 2014 resulted from a tax benefit of the PST loss, exceeding the tax expense recognized on the remainder of the continuing operations, which includes the U.S. earnings for which we do not provide tax expenses due to the valuation allowance. Our ability to drive top-line sales, improved profitability, and generate cash flows remained our primary focus for continuing operations. In the fourth quarter, operating cash flow was an inflow of $20.7 million in comparison to $21.2 million during the fourth quarter of last year. As indicated on slide 11, we improved debt leverage for continuing operations as measured by total debt to EBITDA ratio from 4.1 times at December 31, 2012 to 2.8 times at December 31, 2013 and now 2.5 times in the fourth quarter of 2014 as we’ve deleveraged the company. As the Brazilian economy has weakened, PST’s inventories have increased. PST management reduced inventory by $9.1 million in the fourth quarter compared to the third quarter of 2014 with prudent pricing actions, balancing demand forecast with new order patterns for the first quarter sales. Receivables increased by $4.1 million as local currency sales increased in the fourth quarter over third quarter of last year. And with the improvement on working capital, PSTs debt has been reduced by an additional $2 million in the fourth quarter versus the third quarter and we’ll continue to decrease as inventory continues to be reduced. We have continued to focus on top-line growth with our remaining businesses and we are focusing our resources on leveraging our technology capabilities by further investing our electronics and control devices segments. Now that we have closed the Wiring transaction and have refinanced the company, we’re focusing our efforts on growing the company with organic growth supplemented by bolt-on acquisitions for our control devices and electronics businesses. These focus initiatives will continue to improve our financial performance and enhance shareholder value. Our favorable outlook is based on our confidence that we have repositioned the company for improved operations and financial performance. Continuing operations are improving for control devices and electronics and control devices are so far the largest part of a gross story for 2015 and 2016. PST Brazil suffers from lower GDP growth and consumer uncertainty and weakness in their local currencies. PST’s management team has taken actions to offset some of the market weakness in Brazil by redesigning the audio lines that increasing their efforts in track and trace. Our continued weakness in Brazil, PST’s management has realigned their cost structure to mask their channel and product opportunities. The company has been repositioned as a higher value market participant with the completion of Wiring transaction on August 1, 2014. And the redemption of 10% of our debt in September and the subsequent redemption of $157.5 million of 9.5% senior secured notes using the new $300 million revolving credit facility is a significant step in the de-leveraging process of the company are substantially reducing our interest cost, a savings of nearly $11.5 million in 2015 compared to 2014. These actions have positioned the company well to continue to enhance shareholder value. We have included our guidance for recognition of continued strength of U.S. dollar against some of the primary currencies in which we operate, especially the euro and the SEK as our manufacturing facilities are located in Sweden and Tallinn, Estonia. Mexico peso for our North America operations or Reais, Brazilian Real for our PST operations in Manaus. When we provide the guidance on February 11, 2014, our plan assumed the following foreign exchange rates. Euros had 113 to the U.S. dollar, which is a devaluation of nearly 15% below the average of the 2014 rates. The SEK was set at 818 which represents a devaluation of 19.2% compared to last year’s rate of 686. In the Mexico peso was set at 14.64, which was near to historical low and presents a limited amount of upside versus last year’s average rate of 1331 to the dollar. The Brazilian Real was set at 270 for 2015 which is a devaluation of nearly 14.7% compared to last year’s average rate of Real 235. In total, we have balanced our transactional exposure across our European and Mexican exposures and based on these exchange rates, we have had nearly 50% of our euro, SEK, and Mexico transactional exposure while the Brazilian Real exposure was too expensive to hedge based on the interest rate differentials between the U.S. and Brazilian interest rates. The more significant exposure is a dollar conversion from local currency, the P&L line items such as sales, operating income and net income which affects sales in euros, SEK, and Brazil Real which match the local currency growth we are experiencing. When we recalculated our 2014 sales based on our current 2015 plan exchange rates, we’re actually forecasting the growth by approximately $40 million to $45 million in organic growth and local currency to our guides priced nearly flat U.S. dollar reported sales growth. We did the sale analysis for operating income as well and that analysis indicates that operating income dollars we have grown by around $7 million to $8 million when we recalculate 2014 based on current rates in compared to our 2015 plan. In conclusion, we published our 2015 guidance on February 11th with 2015 earnings per share in the range of $0.77 to $0.92 per share. Similar to how we perform the 2014, we expect earnings be stronger in the second half of 2015 compared to the first half of 2015. We will now open the call for questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Justin Long of Stephens. Please proceed.
Justin Long: Thanks and good morning guys.
John Corey: Good morning, Justin.
Justin Long: I just wanted to start off with the couple of quick questions on the 2015 guidance. Could you talk about what you’re assuming for the tax rate this year and also any expectation on CapEx?
George Strickler: I think CapEx will inch up a little bit Justin from where we have been, we spent roughly I think about $27 million this year, I’ll take it will be in that same range a little bit more will be for new line and the shift by wire and whereas. So it’s going to be in that same range and probably $28 million, $29 million range. In terms of taxes, our cash tax expense would be very similar to what we experience in the past couple of years that will be around 3% to 5%. I think based on the stability of Brazil and that would be profitable this year. Our tax rate should affect be in that same range historically where we talk about 13% to 16%.
Justin Long: Okay, great. So if you look at the FX headwind, did you give some color on the revenue impact or EBITDA impact, but it essentially works out to roughly $0.25 in EPS or so?
George Strickler: No, I think it’s a little lower than that, it’s probably – it’s more in the range about $0.10 to $0.15 of the impact on the currency.
Justin Long: Okay, $0.10 to $0.15, it’s helpful. And I also wanted to ask about the shift by wire business, it seems like some of that may have moved more into 2016 versus this year. Could you just speak to what drove that delay and are you now comfortable with the timing of that business rolling on the next couple of years?
George Strickler: Yeah, there is a push out from 2015 to 2016 and that was really as a customer – we’re following the customer’s cadence on that. So they’re working on their development site. So we’re pushing a little bit more into that year. We are very confident that these programs go off at our full projection to pretty solid as we said in the past and things shift by wire in total can be probably $150 million line business for us. In addition, we’re getting some early indications although it’s very early that they are maybe some other models that we might be considered for as we go forward, so we might have some – next year, might have allocation on the net new business awards on this line.
Justin Long: Okay, great. And last question, we’re in couple months into the quarter. I was wondering if you could comment on each of your businesses and how they’re trending quarter to-date, our things playing out relatively in line with your expectations so far?
George Strickler: Yeah. I think so I mean you think the North American automotive market is just still remained strong as of both very strong in February, so that’s benefiting control devices. The electronic businesses are playing at about what we expected and Brazil is playing at about where we expected as we go forward. So for the first quarter as what we know today things are at the pace that we expect. And Justin, that’s in the late two that we said, it would be more the second half because Brazil is typically lower in the first quarter. They’re trending in their normal progression as they do and then so they should be – we’ll have a loss in the first quarter, but then we will have closed to breakeven the second quarter, then we’ll go back in the profitability as John said in the third quarter and the fourth quarter. But for the year, it does appeared that we will be profitable on PST with all the actions we’ve taken in the top-line growth that we’re looking at and track and trace and then new audio lines.
Justin Long: Great, that’s very helpful. Thanks for the time.
George Strickler: You are welcome.
Operator: Thank you for your question. The next question comes from the line of Chris Van Horn, FBR. Please go ahead.
Chris Van Horn: Yeah, good morning, thanks for taking my call.
JohnCorey: You’re welcome Chris.
Chris Van Horn: Just a follow-on the shift by wire, could you give me a sense of the competitive landscape for that product and kind of how the awards are expected to flow and what kind of your competitive advantages on the product?
JohnCorey: Well, our competitive advantage, I mean the competitors in North America is probably one or two competitors walked in and they primarily are on the Chrysler platform or products that are not on the Chrysler platform. And our competitive advantage where we believe our competitive advantages on this is that we are able to package a high toward accelerator in the relatively small space. The other thing as we got – we’ve got a sizable amount of awards on this program already, so the computer finding value in our products. So its price strike and it performs well and we are launching this program as we said, we’re already on the Lincoln models. We are moving down with three or four models and we’re moving on GM models. And those models are launching in ’15 and ’16, so that’s going to be one of the key things that we have to do this year as make sure we want those models effectively and as I said earlier we may even have some additional opportunities there. In Europe, we don’t do anything on shift by wire. They have their own capabilities over there. They kind of stay over in that side of the pan and we’re competing on this side, so a good program for us. Chris, the other advantage when I shift by wire, it’s actually a bolt-on application to our existing transmission, so when you look at some of the competitive products, they are more the low cost transmission, but those tend to come when you redesign a new power train or new transmission, so what Ford and GM have done and now we’re looking at other customers gets an existing transmission configuration that they have and we can bolt-on our technologies to that. So we’re starting to see some interest expanding the two existing customers we have plus applications in Asia. So, and we seem to be very well-positioned because of our uniqueness with our product.
Chris Van Horn: Great. And could you give a little bit more color on the 9.6% growth in pass car that’s a very effective growth rate given the start and just want to give a sense of what product line we’re seeing a lot of attraction with?
John Corey: We are seeing it on our emissions product line on EGT product lines and also as we launched these shift by wire. We have product on the truck platforms too, which is emissions product which is driving them.
Chris Van Horn: Got it. And any sense of like the mix between pass car and light truck?
John Corey: Well, it’s good question because it really does very well product family, for instance shift by wires or pass car is that growth you will see a greater shift towards the mix, but you look at some of our products like Trailer Tow and our EGT products, a lot of those on the light truck platform.
Chris Van Horn: Okay. So roughly half a split.
John Corey: We’re probably about 40% light vehicle and 60% in pass car and it will start to switch a little bit as the shift by wires comes in so it will start influence more on the auto side and that’s not saying the enterprise, there is other platforms in light vehicle, but right now they have not done that except GM has done that with some of their [indiscernible] applications with the catalog.
Chris Van Horn: Got it, got it, great. Thanks so much. Thanks for taking my call.
John Corey: You’re welcome, Chris.
Operator: Thank you for your question. Your next question comes from the line of Jimmy Baker of B Riley and Company. Please proceed.
Jimmy Baker: Hi, John, good morning, George.
John Corey: Good morning.
George Strickler: Good morning, Jim.
Jimmy Baker: First, I just had a question on the – as I look at the revenue guidance so at the midpoint you are looking for call at a $16 million year-over-year improvement, but you have again as a midpoint, $16 million of net new business coming online in 2015. So can you just explain why like all of your recurring business, net out the flat for the year, it seems to be something more significant than FX is triggering.
George Strickler: I think it really does stammer on currency, Jimmy is that if you look at and we’ve gone back and look at the 14 run rates versus ’15 and if you look at the impact in total, it’s approaching $50 million as I mentioned in our analyst speech, so a lot of this is the currencies influencing by half in Europe and half in PST is almost evenly split between that $50 million impact.
Jimmy Baker: Okay, well, maybe I’m going to take on the FX team and if I look at the 26.9 gross margin in the quarter, first, have you got any unusual charges in it and then separately can you kind of help us walk through what’s driving the higher direct material cost if that’s entirely FX and did I understand your comments correctly that if this FX headwind continues into ’15 that you might be some of your cost initiatives that are outlined on slide 12 offset by those FX headwinds.
George Strickler: The biggest challenge we have in Brazil as you know we had the same issue in 2012 that if our competitors have inventory on stock, there is a reluctance to really raise prices, but with the Real now going at about 15% that has a direct translation into raw material cost in Brazil and our real challenge because we can’t really hedge so expensive because the interest rate differentials that we have to work on raising prices or redesigning coming out of new products like in our alarm system business we’re traditionally launching new line generally between April and June and we try to get prices up that way and then try to bring the home market with it. So we are actively working on price increases in Brazil right now. It is really being driven by Brazil right now because of the significant currency change and what’s that is doing to their imported raw material cost.
Jimmy Baker: Okay, great. And then just lastly kind of a housekeeping item, just to clarify – the confusion on the adjusted EPS schedule for this year adjusted EPS include the tax benefit that you booked in your GAAP results for the fourth quarter and then did I just hear is response to earlier questions that your 2015 guide assumes 13% to 16% growth tax rate?
George Strickler: We’ll, for ’15, yes it does, that’s the rate that we will look at because the unusual thing in 2014, is there is a new launch in the tax loss in Brazil is that once we incurred a loss for the year which we did is the local currency levels. Then you go back and you book a tax credit base on the statutory rate, which is 34%. Now that we’re back in a profitable position for this year, we will be back including taxes in Brazil at 21% for the year, which is their benefited rate from them now, so and then in our schedule, the only adjusted items that are in there are the PST goodwill and then the cost that were incurred the premium cost and the amount of the amortization of the prior deferred cost from the previous financing, so that is what shown in the adjustments schedule for the $0.36 and $0.81 per PST goodwill.
John Corey: There is same exhibit, Jimmy on the – right at the very end of the press release that ties into the P&L shows to the adjustments.
Jimmy Baker: Understood, so just to be clear. Those have no impact on your tax rate for the tax benefit remained correctly.
John Corey: Right, that’s right, as the goodwill was in tax, right that the goodwill has no impact and then all the financing costs and the interest is really in the U.S. or there is no taxes.
Jimmy Baker: Great, very helpful. Thanks for the time guys.
John Corey: You’re welcome Jim.
Operator: Thank you. Your next question comes from the line of Robert Kosowsky. Please state your company name.
Robert Kosowsky: Good morning guys, Sidoti.
John Corey: Good morning, Robert, how are you doing?
Robert Kosowsky: Doing great. I was wondering on the slide 8, the 3Q to 4Q earnings rates, you had a $0.08 negative variance with control devices and electronics overhead to expand what that is and kind of stand though.
John Corey: You said the slide 8.
Robert Kosowsky: Yes, slide 8.
John Corey: Well, as I indicated – we had some – we’ve improved some higher warranty cost in there. We had some higher compensation and then we couldn’t get the reimbursement of some of the engineering, so I think the real question and they wrapped is those are not continues increased cost in overhead.
Robert Kosowsky: Okay, so that make sense, essentially with the one-time negative variance in the quarter and that is going to be really interesting throughout the year.
John Corey: Yeah. Third quarter, fourth quarter, right.
Robert Kosowsky: Okay. And then also do you see any benefit from the plan on raw material prices generally speaking.
John Corey: We are working aggressively on that right now to push some of – to get some of those, we have not yet seen that benefit come through on our contracts. But we will expect to look at that, as we go forward. We’ll see because strictly with the oil prices, we’re looking at all our plastic parts in our resin suppliers and looking to push them down on pricing actions. We are also looking at transportation cost in our freight carriers and looking to see if there are opportunities to drive cost lower. On electronics, we don’t see – we see the normal kind of cost recovery on those items. So, the big opportunities are on the resin prompts.
Robert Kosowsky: Okay, that’s helpful and then with the PST, can you talk about what the gross margin headwind might have been because you’re selling down the inventory, how much of our inventory you need to see brought down and then finally the cadence in that $13 million of cost benefits you are going to see. 
John Corey: The cadence for the labor and the overhead side is in place so that will be evenly over the full quarters. The other piece is the savings on the redesign of the audio line and originally and we still have about $5 million of inventory that we got to pull down and so it’s slight to that we will start and have the implementation between April and June of the new line. We factor that in today, the overall savings that you are seeing on the chart, but that’s one of the influences, Rob, of why the profitability looks much better in the third quarter and the fourth quarter because we have a fully implemented with the audio lines, track and traces in place that we’re signing contracts and moving forward. So that is a one man, we didn’t want to lower the price because all it does is take the price down in the overall market. So we’ve been selective how we’ve done that with reduced inventories as we mentioned $6.5 million and other $5 million that will happen between January and April, but we will have new product coming in to that April, June timeframe and that’s one of the big reasons why that benefits comes more in the second half.
Robert Kosowsky: Okay. And then did you say with the cost headwind was and the margins percent of headwind was from the chart on that for the quarter?
George Strickler: No, they really wasn’t any impact on that, it was more of a mix of products and then the cost increases in the raw materials where we have, so they are running the lower gross margin, they historically have done around 38, but I think with the positioning that we’re looking with the cost savings and also the new audio lines, our margins will get up in that range of 40% to 43% for this year.
Robert Kosowsky: Thank you very much.
George Strickler: You’re welcome.
Operator: Thank you for your question. The next question comes from the line of Andrew Fleming of Heartland Advisors. Please go ahead.
Andrew Fleming: Good morning guys.
John Corey: Good morning, how are you doing?
Andrew Fleming: Doing well. Congratulations on the deleveraging the balance sheet.
John Corey: Thank you.
Andrew Fleming: I’m just curious, it looks like we ended fiscal ’14 with $87 million of net debt, where do you anticipate that being as we exit 2015 especially you noted in your earlier commentary that you will be able to take the inventory levels down PST, I’m wondering how much cash might be able to generate from that?
George Strickler: Well that will probably another $5 million, but I think as you and I talked initially at this point with our lower interest rates is not to really take debt down substantially. I think for the year we’re forecasting that – it will be a marginal reduction probably somewhere in the range of $5 million to $10 million in debt, the real challenge we have is where we’ve been invest and we’re actively looking at bolt-on acquisitions, we’re making investments to really support our growth in Asia and with the shift by wire, so that’s been a lot of the focus and we will continue to focus for this year.
Andrew Fleming: Okay great and then what is your – I missed the earlier commentary, what do you expect your quarterly interest expense fee, is it the 1800, I’m sorry the $1.8 million this year is that a good run rate I think of going forward.
George Strickler: Yeah, I think these are the new rates we’re looking at is that our quarterly interest expense will be somewhere in the $1.3 million to $1.4 million range.
Andrew Fleming: Okay. And then the guidance for ’15, what was the organic growth rate if we exclude the PST?
George Strickler: For the two businesses we’re probably looking somewhere right around 4% to 5% and one of the things it’s happened, Andrew is that lot of the shift by wire, we still have roughly $17 million to $20 million in new business which is coming a lot of that is shift by wire, but a lot of that is now sitting in 2016, in fact we have a largest lift over in the history of the company about $85 million of net new business in 2016 so…
Andrew Fleming: Okay. And then if we are trying of think of inherit operating leverage in the business model. Is SG&A pretty fixed at about $30 million a quarter moving forward?
George Strickler: SG&A is going to be pretty flat this year, we’re looking at very little increase at all partly because of the one that the reduction that we’ve seen in Brazil we’ve done, so it’s going to be flat compared to last year. What we’re really going to see I think your question is we ramp-up the leverage that we’re going to get from our new products especially shift by wires is come on the apt income side as supposed to gross margin, so I don’t think we’ll see a huge lift in gross margins, but we will end up experiencing a leverage at the apt income level.
Andrew Fleming: Okay. And just so you’ve guided the gross profit margin 28% to 30% looks like SG&A will be pretty flat at about $30 per quarter and then design development, are you targeting that as a percentage of sales?
George Strickler: Well, we have historically that we generally have spent a dollar amount somewhere in the range of $40 million to $43 million depending on what we’re doing. I think the philosophy we have within our business teams and ourselves is that, we can leverage that too, so it’s not a matter we are going to increase the same percentage for sales as our sales ramp up, and you will see our dollars stay fairly constant in that range, and then our percent of sales will go down with that. And a lot of it depends on what we see as opportunities that are coming up, you might want to – so we are already looking at what we might be doing at 2017 and 2018 timeframe, but right now, as we look the fill in those things, there might be slightly higher initially D&B expense for some of those programs.
Andrew Fleming: Okay great. Well appreciate the debt pay down and the continued focus on controlled devices and all trends.
John Corey: Thank you.
Operator: [Operator Instructions]. And your next question comes from the line Daniel Uribe with Varna Capital. Please go ahead.
Svetlana Lee: Hi, this is Svetlana Lee from Varna Capital. Congratulations on delivering the balance sheet. Just a quick question on the PST debt, you said that’s totally nominated in U.S. dollars and how much of that is remaining?
George Strickler: No, you know very good to talk to you again. But our resilient debt is predominately all local currency, we really gotten out all of the dollar debt. In all of the debts that we have, 75% is really what we call state tax incentive funds that we borrow from the SUDAM and FINAME because we spend enough money on new technology that we are granted. Term loans, they generally run about three years, and our interest rates are in Reais at 4.5% to 5.5% for that debt and then we do have the piece that I talked about paying down is really working capital loans that we borrowed, and those rates tend to be in the 11.5% to 12% range. So our mission this year is to pay down the working capital of debt and then we will continue – we will pay down the maturities of the state tax incentive funds over their current maturities which are I think they pay out over the next two to three years.
Svetlana Lee: That’s great. And then is there any U.S. dollar exposure there on the transaction side?
George Strickler: Yeah there is, I mean because we end up, we import and it varies, it’s somewhere between $1.5 million to $3 million a month, because we import a lot of components and assemblies out of China. Historically, what we have done is we’ve actually deposited the dollars as a way to head start mechanism from the currency, and so that is our one real exposure in dollars and we estimate, and when I talked a little bit earlier about the transaction cost in the change in the currency, there is built into that $0.11, but I said adjusting there is roughly about $0.4 dealing strictly with that item, the transactional exposure that we have in PST for importing dollar components and assemblies.
Svetlana Lee: Okay that is helpful. And then can you talk a little bit about the M&A opportunities on that you are in a good position to help some of the cash flow to deploy here.
John Corey: Yeah I mean, when we look at the controlled device products that we have set all along, we will look at things that are perhaps in the actuation space, as we might want to fill out that space, we think there was some growth opportunities in there beyond our shift by wire and some of the front axle disconnect products that we have, so we will stick there. And we’ll also look at the – in the emissions segment, we are going to look at some things in the area and the central side of the emissions segment that may offer, you know may fill out that portfolio. And as we’ve said we look at things, you know we have got a good position in North America, so we will be looking at the – see if we can enhance our position in Europe on the control of ice products. Electronics, it will predominantly be looking at maybe I’d say module suppliers that are currently competing on the smaller volumes, so that could be anything from door modules or products like that, and then we’d also look at perhaps instrumentation, and then also as we look at the emergence of what’s going on in the market, we might be looking at some opportunities in the – I’d say the – in tab enhancements that would enhance driver safety and driver visibility. You know one of the things we are seeing in the market right now is there are lot of opportunities coming up in Europe, and it seems to be driven low interest rates, and there seems to be an expectation or at least a feeling that if some privately sold firms want to monetize the piece this seems to be an appropriate time to do it, so we have seen a significant increase in opportunities in that part of the regional world.
Svetlana Lee: Alright, thank you.
John Corey: You are welcome.
Operator: I show no further questions, ladies and gentlemen. Well now I’d like to turn the call over to John Corey for the closing remarks.
John Corey: Yeah again thank you for joining us on today’s call. As we look forward to markets as I said, North American automotive commercial vehicle market looks very good for 2015, European market is improving in 2015, and the Brazilian market, we’d essentially puts in our projection as being a flat market. But I think that the – we are going to continue to improve the performance in our businesses and we should continue to be able to improve the delivery of results. And then we’d potentially you know our ability now to invest in acquisitions for the business. I think Stoneridge has got a very good possibility of growing significantly in the near future. And with that I’d like to thank you for joining us on the call.